Operator: Good day, and welcome to the Dynex Capital Incorporated Second Quarter Earnings Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instruction] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Alison Griffin, Vice President of Investor Relations. Please go ahead.
Alison Griffin: Thank you. Good morning everyone, and thank you for joining us. The press release associated with today's call was issued and filed with the SEC this morning August 6, 2015. You may view the press release on the company's Web site at dynexcapital.com under Investor's Center, as well as on the SEC's Web site at sec.gov. Before we begin, we wish to remind you that this conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The words believe, expect, forecast, anticipate, estimate, project, plan, and similar expressions identify forward-looking statements that are inherently subject to risks and uncertainties, some of which cannot be predicted or quantified. The company's actual results and timing of certain events could differ considerably from those projected and or contemplated by those forward-looking statements as a result of unforeseen external factors or risks. For additional information on these factors or risks, please refer to the Annual Report on Form 10-K for the period ending December 31, 2014, as filed with the SEC. The document may be found under the Company's Web site under Investor Center, as well as on the SEC Web site. The call is being broadcast live over the Internet with a streaming slide presentation, and can be found through a webcast link under Investor Center on our Web site. The slide presentation may also be referenced by clicking on the Dynex Capital's second quarter 2015 earnings conference call link on the presentation page of the Web site. With me on the call today, I have Byron Boston, CEO, President and Co-CIO; Smriti Popenoe, EVP, Co-CIO; and Steve Benedetti, EVP, CFO and COO. I now have the pleasure of turning the call over to Byron.
Byron Boston: Thank you, Alison, and good morning. Our second quarter results for 2015 reflects the complexity of a global financial, economic, and geopolitical environment. Movements in the major financial markets have all been challenging for the past one-and-a-half to two years. Global currencies, commodities, interest rates, and stock markets have all continued to deliver surprises as corporations, investors, regulators, and politicians work hard to understand a rapidly changing landscape. As a result, I want to take a few moments to review our second quarter earnings, our strategy, and the risks that we take to ensure that our investors understand our approach to the business. In my 30-year career of managing fixed income assets, and my 11-year career managing a mortgage REIT, I have found it necessary from time to time to stop and review the business model, the risks that we take on a daily basis and our long-term approach to the business. Hence, my goal is that you leave our call today with the a better understanding of Dynex, our long-term approach to the business, and why we continue to feel comfortable honing -- owning or holding Dynex stock in our personal portfolios. I will start by asking myself a series of questions with the goal of giving a high level picture of the business. After that, I will finish, and turn it over to Smriti and Steve, who will give you more details regarding the overall results from the quarter. So first question, what happened during the second quarter of 2015? Simply put, we generated core net income of $0.21. Our book value was 853, which is down 4.8%. We paid a dividend of $0.24. Our stock yields currently 13%. What were the drivers of our results in the second quarter? Our earnings were impacted by faster pre-payments fees. And our book value was impacted negatively by a rise in interest rates, and wider spreads. Byron, do you still believe the global financial and economic environments are complex? The short answer here to this question is, yes. We have talked about this for the last one-and-a-half years. The future will be full of surprises, and we are managing our business from this perspective. How was your portfolio constructed today, given the complex global backdrop? First, we are long-term investors, and we have constructed the portfolio to perform in a variety of market environments. Hence, our quarterly results are important to us. But our investment decisions are made for a much longer time horizon. We continue to build a diversified portfolio. This has been a major driver of our results for years. Combining the assets backed by both residential properties and commercial properties accrued would be very profitable, and a base for good risk management. We still focus on short duration assets, but we have added a few longer final CMBS. By longer though, I mean 12-year final as opposed to 10-year finals. We sold all our high risk bonds, and moved up in credit. All assets added in 2015 are [indiscernible] rated Triple-A are backed by a government agency. The key here is liquidity. We have in effect increased the credit quality of our portfolio, and more importantly, we have improved liquidity of our portfolio. We are concerned about using leverage with lower rated credit bonds in an environment where spreads are tight, and asset valuations are high. So what are you trying to achieve at this point in the business cycle? Simply put, we are balancing risk and reward. We believe an above average dividend yield will be a strong contributor to total returns for the foreseeable future. Hence, we're trying to balance the amount of risk we should take to produce an appropriate level of dividends to our shareholders. A major driver of our results will be the size of our balance sheet, and our overall leverage. Over the past two-and-a-half years, our balance sheet has been low as 3.7 billion, and as high as 4.7 billion. Today, our balance sheet is 4.2 billion. We are in the middle of this range, somewhat neutral. Over the past two-and-a-half years, our leverage has been as low as 5.1 times, and as high as 6.8 times. Today, we also sit in the middle of this range, at 6.2. I could see our leveraged drift a little downward as we head into the latter part of the year. But this is a dynamic process that will be influenced by multiple factors. And Smriti will discuss more on that here in a second. What other risk will you take given the complex environment? We are assuming a few core risk at this time in the portfolio. Duration risk and spread risk are core positions in our book of business. We will manage this exposure dynamically. We will continue to manage duration exposure across the yield curve, meaning, to go back about three or four years ago, at one point, we had all of our duration housed in the front-end of the yield curve. Slowly, over the last couple of years, we have moved that duration or a portion of that duration out to the longer portion of the yield curve. Again, Smriti will go on to more detail in a second. We will keep a close watch on our liquidity to ensure that we are protected in any market disruption, and that we have the ability to take advantage of investment opportunities if they develop. We are minimizing our prepayment exposure by focusing on the CMBS sector, where prepay risk is mitigated by prepayments penalty. Now here's an interesting point. This quarter, prepayments fees actually had a net negative impact on our earnings. However, was in those numbers, the positive impact of CMBS prepayments materially offset the negative impact of the residential sector prepayments fees, such that the net impact was much lower than what it would've been had we only been exposed to the residential sector; so again, the benefits of diversity. Another question, does the threat of the Fed raising interest rates concern you enough that you will hand out all the duration in your portfolio? I believe this is a key question, so we'll really want to take a second here to answer this. Yes, we are concerned, but, no, we have not hedged out all of our duration. The uncertainty around central bank activity is a major concern for us. But global interest rates will be impacted by central bank activity not only in the U.S., but also in other countries such as China, Japan, Europe, and England. We will not hedge out all of our duration in our portfolio, as long as there is a meaningful risk that rates could drop suddenly. We believe that rates will increase, potentially in a very orderly fashion, but that events could evolve where rates could drop suddenly in a much more disorderly manner. Hence, we will continue to manage this uncertainty with a positive duration gap. We further believe that adding more derivatives to reduce our duration gap will only expose us to another set of risks that we do not want to assume at this time. Simply put, hedging out all-year duration in our business model is not a de-risking strategy. It is simply making a bearish call on interest rates. We are not willing to make that call at this point in time. Another question; will you expand your business into some of the other operationally intensive business strategies, such as direct loan origination or servicing? Not at this time. We will continue to look at these strategies, but the return is not sufficient, given the level of complexity, reduced balance sheet liquidity, and especially regulatory risks. The market has a dark cloud over the entire mortgage REIT sector; what are the bright spots? Three that I'll point out, relative yield of our stock in a zero interest rate environment. Please take a look a note on Slide 3 in our presentation. As we look into the future, we expect the above-average yield generated by Dynex and other mortgage REITs to be a large diver of returns over the next five years. As you look at this chart, you can see, and it's highlighted. We're in a relatively zero interest to a very low interest rate environment as shown here by the average one-year CDs rate. And as you move off the graph toward Dynex stock, you can see what we consider very risky sectors, such as the high yield sector, which offers almost a 50% lower dividend yield. And more importantly, the most important point to highlight here is the relative yield and the power of that relative yield over time in terms of driving overall total returns. Second bright spot; financing, we continue to develop alternative financing arrangements, away from our traditional Wall Street yield counterparts. We expect these arrangements to be positive as we move forward into the future. This includes our direct relationship with the short term cash lenders, and our relationship with the Federal Home Loan Bank of Indianapolis. Finally, and very important; please take a look at the slide on page four. These are total returns over 12 years for a group of mortgage REIT stocks, which includes Dynex, and the S&P 500. Very important to note, this period includes a two-year period in which the Federal Reserve Board raised interest rates 17 times or a total of 425 basis points. That's back in the period between 2004 and 2006. As you can see that these companies generated attractive relative return over the long-term, furthermore, during this period, the investors in these companies received a material amount of cash from their investments in these stocks. As we at Dynex look to the future, we continue to manage our book of business with a long-term investment perspective. And I hope this chart gives you a better picture of how we think about the long-term of what our overall goals and desires from holding our stock over a long period of time. With that, I'm going to turn the call over to Steve Benedetti.
Steve Benedetti: Thanks Byron. For those of you that are following the presentation, I'll be covering parts of Slid 6, 7, and 8 with my comments. As Byron noted, this was a challenging quarter given the volatility in rates and spreads, which is reflected in our results. We reported a comprehensive loss of $0.21 per common share for the quarter, and net income of $0.52 per common share. Breaking comprehensive loss into its component parts; we earned core net operating income of $0.21, and had losses on our investments net of their related hedges of $0.42. Core net income to common shareholders of $0.21 was $0.02 lower than the first quarter. Despite a larger earning asset base during the quarter, core net income was lower primarily due to three reasons. First, premium amortization was higher from faster prepayments on agency RMBS. As Byron noted, this was partially offset by prepayment compensation received on our CMBS and CMBS IO portfolios during the quarter, which reflects the benefit of our diversification model. Second, we had higher hedge costs during the quarter as we added pay-fixed swaps in connection with managing our duration position, given changes to the portfolio. And lastly, we had modestly higher operating expenses this quarter versus the first quarter. Partially offsetting these amounts was an increase in earnings for the quarter from our partnership investment in re-performing loans. Adjusted net interest comp decreased from the first quarter primarily due to the previously mentioned higher premium amortization on our portfolio, coupled with the higher hedging costs. For a similar reason, adjusted net interest spread was lower by 10 basis points, but that also includes the addition of assets during the quarter of lower net asset -- net interest spreads. Overall, our investment portfolio was flat quarter-to-quarter, but up slightly on an average earning basis as we added agency CMBS and CMBS IO spreads wide and early in the quarter, and we sold lower-yielding agency ARMs at the end of the quarter. On Slide 8, we provide a reconciliation of book value per common share. Broadly, the decline in book value was driven by the net decline in fair value in our investments, with roughly half the decline attributable to the steeper yield curve, and the other half the spread widening across the portfolio. Book value benefited approximately $0.012 per share from the 845,000 shares we repurchased during the quarter, which is roughly 1.5% of our outstanding common shares. Leverage at the end of the quarter was up to 6.2 times from 5.7 times at the end of the first quarter. Approximately 60% of this increase is related to the decline in book value in our stock buyback program, and 40% is related to the minor increase in the size of our balance sheet. Over the last several quarters, and continuing into the third quarter, we have been actively managing our hedges, repositioning our duration risk on different points of the curve, as noted in the press release, and on Slides 32, and 33. Smriti will be discussing the reasons for this activity later in the call. On an annualized basis, we are flat for the year on a total economic return to our shareholders, as our dividends year-to-date have roughly equaled the book value decline. During the quarter, our wholly-owned captive insurance subsidiary was approved for membership in the Federal Home Loan Bank of Indianapolis. This is a significant step in diversifying our funding sources, and risk-managing our business. We added a 108 million in advances maturing in 30 days, at a weighted average rate of 22 basis points. Return on equity on assets currently funded at the FHLB are very similar to the return on equity for repo. As Indianapolis becomes more comfortable with our asset mix, and their regulatory risk with mortgaged REIT insurance captives, and as we become more comfortable with the FHLB process, we expect significant improvements in equity returns versus repo. With that, I'll turn the call over to Smriti.
Smriti Popenoe: Thanks Steve. I'm going to discuss macroeconomic factors first, and then drill down to our risk position, and our activity through the quarter referring to Slides 12 through 19. We see an evolution of the complex environment that we've been describing over the last 18 months. This quarter, against the backdrop of quantitative easing in Europe and Japan, we saw the existence of the Euro zone threatened by a potential Greek exit. We also saw extreme volatility in Chinese equities. Chinese authorities and central bank took a number of unorthodox and dramatic actions to stem the tide of investor losses. Yet, over the quarter, U.S. treasury yields rose, more in the long end of the curve than the short end. Two-year rates only arose 9 basis points, and then contract 5 and 10-year rates rose 28 and 41 basis points respectively. Early in the quarter, U.S. markets were driven by moves in German bonds, and later in the quarter, market participants believe that little would stand in the way of the Fed raising interest rates. However, the pace and the timing of Fed hikes remain an open question. Because in spite of the strong desire to move off what's perceived as emergency status of zero interest rates this year, the Fed still remains data dependant. And the data thus far still leaves a fair amount of uncertainty in the picture. Turning to Slide 13, where does this leave Dynex? We've assessed this environment as one where the outcomes are really quite divergent. And the scenarios with the higher probabilities are likely unforeseen, unknown surprises. But we also have to plan for a scenario where nothing gets in the way of the Fed raising interest rates as they so desire. We've described this environment as one being -- one in which we don't take outsized risks, and our position reflects this view. We are long duration, as Byron mentioned. As we believe this is an appropriate position in an environment with so many divergent outcomes, some of which could lead to lower interest rates, and wider spreads. Being long duration protects our securitized mortgage portfolio from such outcomes. Closing the duration gap in this environment would be tantamount to taking a position that interest rates could only rise from this point, and would expose us to falling rate scenarios. With that in mind, I want to address our risk position, both as it relates to book value, as well as net interest margin. Please turn to Slide 14. Let's start with our book value performance this quarter, a decline of $0.43 since quarter end -- the first quarter end of 4.8%. If you look on the right-hand-side of this page, we showed last quarter, our portfolio is exposed to a scenario where backend yields rise more than front-end yields, called a curve steepener. Now the numbers on this page, just as a reminder to the analyst community, reflect that our modeled duration or option-adjusted duration is calculated as an average, using cash flow from 500 to 1000 interest rate path. That's basically the metric that we're using to calculate these exposures. In the middle of the page, you can see, as of March 31st, for a scenario where two-year notes rose 10 basis points, and 10-year notes rise 50 basis points. Our asset value was projected to decline by 0.04%, on the right-hand-side of the page. This is effectively what happened since March 31st, with leverage of about 6x percent of equity or two pennies. So if you use the model effective duration, you would see little impact from rates per se. We also saw, last quarter -- we also discussed this last quarter that you have to include the impact of spreads. Because we're using model effective durations in our calculations, the appropriate metric to use is option-adjusted spreads. On Page 16, we've shown how option-adjusted spreads moved for the quarter. Using the bottom table on page 14, using 6x leverage on 25 basis point spread widening for the quarter approximately, that would -- you can see that the book value change then makes sense. You have to consider the impact of rates and spreads when assessing impacts to book value. When you use model duration, option-adjusted spreads are the correct metric. I'd also advise you that going forward you're going to see impacts to book value on a quarterly basis from hedge costs that are embedded in Euro-dollar futures, and forward-starting swaps that reflect roll down in the passage of time. My point here is that, as we're managing the position more dynamically intra quarter it is going to be harder to pin down exactly where book value will be for a given move in rates. Now let's turn to our current interest rate risk position and spread position. The main point I'd like to leave you with here is that our exposure continues to be to a steeper curve, i.e., one where the back end rises more than the short end. But you can also see on this page, that our position is fairly flat when the curve twists or flattens. For example, the yield curve today, what's priced into the market today, basically has three-and-a-half rate hikes priced in through December 2016, three more rate hikes through December 2017, and two hikes through December 2018. We only get the 3% LIBOR in December 2020. So effectively, the market has already priced in nine rate hikes or so in the next three years. Changes to our book value from where we are today are only going to happen to the extent that the market changes its opinion on the pace and the timing of these hikes. Say, for example, the market believes the hikes will be sooner, and more in magnitude. The front end will respond to that. So those are the scenarios in the middle of this page. For example, if the two-year note rises 25 basis points, and the 10-year note really doesn't do much, then we're really taking about the pace and timing of very forthcoming Fed hikes. Our book value -- our net asset value exposure is actually pretty limited. On the other hand, if the market believes that the rate hikes will be pushed back, and there's a steepening scenario, these are the first two or three scenarios in the second table. We have exposure to those scenarios. In effect, if you add all of those up, we're still talking about a limited percentage of equity at risk for those scenarios. Now, keep in mind, as we said last time, that when the curve steepens or flattens option adjusted spreads are going to move. So you have to factor in the impact of spreads. Typically, when the curve steepens, option-adjusted spreads on assets like hybrid ARMs tend to widen because of cap risk, and because of extension risk. And typically, when the curve flattens, option-adjusted spreads on hybrid ARMs tend to narrow, because you basically have less cap risk, and less extension risk. You need to factor in not only just duration risk, meaning exposure to what the curve is, also where spreads are. If we're in a situation where spreads are already wide, it's highly unlikely that spreads are going to widen further. If we're in a situation where spreads are very tight, you'd probably want to factor in more spread risk. All in, what we're trying to do, as we manage this position, is really try to keep the combination of both duration risk and spread risk fairly limited. The way we're doing this is that we're buying, and we own securities with relatively low spread volatility. And what we're trying to do is to keep our duration posture long, but still be fairly stable in scenarios where the curve is twisted. The method here is really that we continue to manage our risk exposure to be able to perform in a wide variety of interest rate environments, but also that our primary exposure continues to be to spreads. Now, let's turn briefly to the topic of margins. We continue to be in a situation where we need to manage our swap position dynamically, and we've provided an updated picture of our swap position on page 33 of the appendix. What you'll see this quarter, is we actually repositioned our exposure, especially for the year 2016, from Euro-dollar futures to forward-starting swaps really because we thought that the curve had flattened to such an extent that we were able to lock in an advantageous rate for the year 2016. Again, here the point I want to make is. Against the $3.4 billion or so that we have on repo, there's $2 billion notional and in swaps in 2016, and 50% of the remaining 1.4 billion consists of floating rate assets that we'll adjust as short term rates rise, really leaving our exposure to rising rates, and particularly rates that will affect our net interest margin as being fairly limited. So at this point, we have to have a lot of optionality and carry hedges in the position to cover a wide variety of scenarios really because of how dynamic the environment is. What you can expect us to do is to manage these positions dynamically, both with respect to book value impacts as well as earning impacts -- earnings impacts from Fed hikes and interest rate changes. Then, in terms of dividends as a reminder, we did take gains, as Byron mentioned, on our credit-sensitive assets last year, which we've used to keep our dividend stable given our more defensive risk posture this year. So with that I'd like to turn to our investment activity for the quarter, on Slide 17. As I just mentioned, we did make a decision to go up in credit and liquidity. This put us in a position of having excess capital and liquidity coming into this quarter. And as rates rose and spreads widened, we were actually able to put some of that capital to work. So we added about 400 million in assets, mostly in agency multifamily CMBS, but we also took advantage of non-agency CMBS IOs, because they widened towards the end of the quarter. You will see that we began use of our home loan bank financing facility, to the tune of about $100 million, and our leverage did go up partially because of our investments, and partially because of stock buybacks, and the decline in our book value. On the financing side of things, we're seeing a slight increase in our raw repo rates, particularly for term financing, as people billed in the possibility of Fed hikes later this year. And you'll also see, in terms of net interest margins, our all-in funding cost, that includes the impact of current pay swaps, that's going to increase slightly as we continue to actively manage our duration exposure. On Page 18, you can see that our equity and asset allocations continue to migrate to the CMBS sector. And at this point, over 50% of our equity is in the commercial sector. On Slide 19, I want to talk briefly about our strategy. Let me remind you that our portfolio de-levers naturally each month due to prepayments as well as IO run off or extinguishment. And in this environment, as Byron mentioned, we expect to manage leverage very dynamically. We're finally seeing opportunities to add assets at attractive levels, both in the CMBS sector, agency and non-agency. This is primarily being driven by a supply issue. The CMBS markets have really been active this year. Particularly agency CMBS market, multifamily market, and these are areas that we're actually seeing attractive risk-adjusted return opportunities. What we're doing here is not only deploying excess capital that we have, but also taking advantage of gains that we have in our current positions, seasoned positions, where we believe that the forward risk reward is asymmetric, and we're able to actually upgrade the yield quality of our portfolio. We're very comfortable doing that. We continue to play in the non-performing re-performing loan securitization space. Then finally, under our $50 million authorized share repurchase program we have been, and are opportunistically repurchasing shares. As always you can expect us to focus on liquidity and capital, as Byron mentioned. A brief mention on financing; we've seen some positive developments in the arena of private direct financing. We think we can continue to take advantage of these opportunities as they present themselves. That, in combination with our relationship with Home Loan Back Indianapolis, in our view, would really help cushion at least a portion of the increase in financing cost as a result of Fed hikes. The real important issue there is that they enhance the ability for us to mange risks using our financing position rather than relying solely on derivatives to do that. I want to leave you with the following main points. First, our book value decline this quarter was a function of both rates and spreads. Our duration position continues to be long. We think that is appropriate in this environment. Our exposure to curve twists, which are typically what happens when the Fed starts an interest rate hiking cycle; it's fairly limited. And our primary exposure continues to be the spread movements, which is a natural consequence of owning spread assets. I'd also like to remind you, that current valuations of assets in our portfolio, the derivatives in our portfolio, they already priced in eight to nine hikes in the next three years, and they already reflect a September rate hike. Any change from these valuations would actually require a substantial change in the data. Second, we were able to play offense this quarter. We added assets. We continue to see selective opportunities to deploy capital at long-term risk-adjusted returns that are attractive. You can expect us to continue to deploy capital when we see opportunities, including the repurchase of shares when appropriate. We're also optimistic on developments in the financing markets, particularly in the private direct financing arena. We think that this is really going to help us cushion some of the impact of the Fed hikes, and help us manage our risk position more effectively. I'll now turn it over to Byron.
Byron Boston: Thank you, Smriti. Can you go to Slide 21, and again, I want to put up a longer-term chart. I want to make a couple of points here. First off, if you recall back, it's not here on this slide, but the earlier slide I used earlier in the presentation. I went back to 2003, 2004, '05, '06 period. One of the other reasons I chose that time period with those stocks the environment was somewhat similar in terms of overall psychology in the market. There was some cloud over the mortgage REIT sector because the Fed might be active in the space. Mortgage REIT analysts had all started to move -- get happy about operating business models, credit and the whole loans, and servicing in these types of strategies. And so that's one of the main reasons I chose to go back to 2003, because I wanted to capture that period, and to just remind you. And if you didn't know, to inform you that this type of period has happened before, and look at the returns that can be generated over time. I've used here, on Slide 21, just to bring it back to specifically Dynex. We went back to 2008, because that's when we started to build the current version of this portfolio. We've tried to give you as much information today as possible to help you understand our strategy, and how we see the future. As in the past, we have been willing to buy back our stock, and we will be continue to be willing to do so if the relative return looks attractive. Again, in this last chart you got Dynex versus the S&P 500 and the Russell 2000, because that mix is included in the Russell 2000 index. Because we have a long-term investment strategy we do not allow short-term results to sway our overall decision-making. We are balancing our risk with the goal of generating an appropriate dividend over time because we believe dividends over time will be a powerful generator or driver of returns. As always, I will close by comments by reminding you that we continue to own our own stock. We will continue to be compensated with the material portion of our personal earnings in stock. And we will continue to operate as owner operators as we look to the future. With that, operator, we will open the call for questions.
Operator: We will now being the question-and-answer session. [Operator Instructions] The first question comes from Douglas Harter of Credit Suisse. Please go ahead.
Sam Choe: This is actually Sam Choe filling in for Doug Harter. I just had a question, I guess, regarding on your positioning of the investment portfolio. This quarter, we've seen the mortgage REIT here is kind of take a more defensive positioning and you guys stated you were more offensive. So I was wondering if that offensive positioning was -- how are you going to continue throughout the year?
Byron Boston: Let's look at this real close with the offensive and defensive words. We started last year identify the environment as being complex. We then made a decision, last fall, to sell our lower rated credit positions, because we feel lower rated credit positions our repo are riskier position. We then made a decision to improve the liquidity of our balance sheet, and the overall credit quality by going up in credit and up in liquidity. So in fact, we made some major decisions. We don't like to necessarily use the word, defensive; we like to use the word, discipline. So when we put on those lower credit rating securities, spreads were really, really wide, returns are really, really high. When we sold them they were really, really tight, and returns had reduced materially, and as such was warranted to move up in credit quality, such that, we reduced our balance sheet going into the end of last year. This year, we've added agency securities, and we added Triple-A securities. Our positioning reflects our opinion that the global financial environment is complex. And so, again, one of the key things we're trying to emphasize to us is that when you talk about defensive or de-risking strategies, you must be very careful in terms of understanding exactly what you're doing, because in many situations you will just take on another set of risks. If it wasn't so complex, you could either make a bearish call on interest rates, or you can make a bearish call on the overall environment, and just reduce your balance sheet, and move into cash. Both of those positions have a different set of risk than we have today. What each person is doing, and what we're choosing to do is identify a certain set of risks that we're willing to take. So we've got, again, a high credit quality balance sheet, more liquidity, and so -- I don't know if the correct words to use is offense or defense. It's neither. It's discipline.
Sam Choe: Got it. I guess another question I had was, what's your thoughts on the GSE risk transfer deals and maybe, I mean, how are you thinking about those?
Smriti Popenoe: I'll take that Byron. I think the main issue on those has been using leverage with credit-sensitive assets, and the level at which those bonds are currently trading. So we've looked at these in so many ways since issuance. And we have not yet found first loss or second loss risk-adjusted return to be long-term attractive for our -- the way we look at the world. Now, that's not to say they're never going to get there. These assets are on our radar screen. When they get to the right level we think we'll step in. Look, tranches where you have first or second loss that are trading at 3%-4% yields, you're really getting your return from leverage. And spread widening, even of 5000 basis points, it's just -- they're material losses to equity when that happens, and we just haven't gotten comfortable with that.
Byron Boston: Let me throw in a couple of other points on that. Along the lines of my comments a second ago, and I appreciate that question. Because I think that's a very important one. What we did last fall, and I'm very -- this is a very important issue to me. We're putting leverage on the lower credit sensitive assets, we believe to give a high risk strategy, want to be used as we used it in 2011, when spreads were extremely wide. Now, our general opinion on residential credit risk is it's an excellent asset. These are money good assets, because the regulators are hammering residential originators so hard that this product that's being originated in 2015 are very attractive assets. To the degree that unfortunately spreads and asset values -- spreads are so tight, asset values are so high, and there's so many people chasing those deals, that we would have to use leverage for those lower credit instruments, that's the exact trade that we walked out of, last fall. We walked into the trade in '09, 2010, 2011. We walked out of that trade last fall, we moved up in credit quality and up in liquidity. So that's, as they're along the same lines, I want you to listen to it from a top-down approach that we take to this market. We believe the market is complex. Why do I say complex? That it's very difficult to take a bearish or bullish stance on this market. We also believe that there can be potential liquidity squeezes. And liquidity squeezes, I don't want to have lower credit rated instruments on repo. I prefer having higher credit quality assets on repo. And if you're a 100% certain that you're going to have some type of global meltdown, then I don't want any asset at all. I'll reduce the size of the balance sheet. Hard to make those large restatements in a complex environment, but I want to emphasize that in credit risk transfer. The key here happens to be for me to get the appropriate returns I have to use leverage. And the returns aren't attractive enough with leveraged, to offset we just buying a much more higher quality instrument put it on repo.
Sam Choe: Thank you.
Operator: The next question comes from David Walrod of Ladenburg. Please go ahead.
David Walrod: Good morning everybody.
Byron Boston: Hi, David.
Smriti Popenoe: Hi, David.
David Walrod: Could you expand a little bit on the prepays, what your outlook is going forward, how they came in July?
Smriti Popenoe: Sure. So really, again, these prepays are reflecting the market environment in March and April. So March, April you saw a dip in rates -- 30-year rates below 4% David. Again, on an all-in basis, I think our speeds were somewhere in the mid-teens to high-teens 16.5 CPR, they're still relatively low given just where the rate environment is. So we think that in the next couple of quarters, again, since rates have backed up that we're actually going to see those come back down. Does that help?
David Walrod: It does, thank you.
Byron Boston: Let me just throw in one other point too. Again, I always like to chime in with the longer term perspective. If you go back to July of 2013, when rates rose, and we had what's called the [indiscernible] and we went through a long process, probably the last of trying to just reeducate on our business model. One of the factors we talked about being a shock absorber when rates rise or prepayments fees. And that's exactly what has taken place over the last two years. Rates went up, our prepayments speeds came down materially from somewhere probably in the mid-30s to almost as low as 10 CPR. We've benefitted greatly from that period of time. Rates dropped again earlier this year. Prepayments speeds, as Smriti pointed out, prepay speeds increased. As you move into the fall, and the winter months again, we are looking to see a cyclical downturn in terms of speeds. But again, I want to tie this in with our overall strategy. I you'd listened to us a couple of years ago, we talked about prepayment speeds being a shock absorber, as they slow down adding to net income, as they have been a huge positive over the last couple of years. To have, what I would consider a minor tick, such as this, up is something that has taken place. But if you really look closely, and you see how much the CMBS prepayment positives offset the negatives of the residential prepayment speeds, that portion is a very bright light or shining positive within the results.
David Walrod: Okay, thank you. Turning to the FHLB, how much do you envision borrowing through that group, and what type of assets are you pledging?
Steve Benedetti: Right. So, Dave, Steve here. We have a credit limit with Indianapolis at 575 million. Today, we are pledging only agency CMBS. As I've mentioned in my call, Indianapolis is not necessarily that familiar with all of our assets. So we're going through the process with them on educating them on our assets so that we can expand what we would be borrowing and pledging against the advances there.
David Walrod: Okay, great. Just couple of other little housekeeping things, can you give us a little color on your partnership in the re-performing loans?
Steve Benedetti: Sure, that's our investment in a -- and we talked about that in the past. It's a group that buys re-performing loans. We have made investments with them over the last several years. The activity in that partnership on a quarter-to-quarter basis will be a combination of income earned or coupon on the underlying loans, as well as in that particular model there's often sales activity. So you clean up the credit, and then sell the credit. So the activity this quarter reflects a combination of those two items. Probably around 60% of which is sales activity, and the rest of coupon.
David Walrod: Okay. And last thing, Steve, you mentioned in your prepared remarks that G&A expenses were up this quarter. Is there anything one-time of nature in there or is that good run rate going forward?
Steve Benedetti: I would say that that's a good run rate for the next couple of quarters, yes.
David Walrod: Okay, thanks guys.
Operator: Thank you. The next question comes from Eric Hagen of KBW. Please go ahead.
Eric Hagen: Hi, good morning guys. You guys have been through a tightening cycle before. So I'm just curious as the Fed actually begins to tight, how do you manage hedge book? Are you actually putting on swaps or you kind of running with what you have now, or you've been rolling off? How do you manage something like that?
Byron Boston: Right, so are you saying that -- are you -- in terms of how do we manage through a cycle such as this?
Eric Hagen: Yes, I mean you're positioned for eventual Fed tightening as of today, but as the Fed actually begins that cycle, what is the hedge book look like?
Byron Boston: Okay, so it is a dynamic process. Since you brought up history, so let's compare. So in 2004, Smriti and I ran another REIT called Sunset Financial. At that point and I really want to draw a contrast here, we drove our duration gap to a negative. Negative half-a-year to one year, because it was easy to make -- to go with the Fed that they were going to raise interest rates, and they were going to raise them consistently. So we made a decision, and that was a change in strategy right in the middle of the quarter. Very few analysts could've predicted it, that we would change our duration there. That was the right strategy. It proved to be extremely profitable throughout the entire Fed tightening cycle, very difficult; so now let's contrast that to today. Our basic argument here is it's very difficult to make any type of large, let's call it, a stance or bet or place too much money in one directly. We can't make an outright bearish market call. And so we haven't made that call, because we think it's more dangerous to get caught off guard if rates drop rapidly though. Those type of moves can put a REIT out of business, whereas an orderly move up in rates, we can dynamically change our position. In effect, we're sitting here saying that we can dynamically change our position. So if you compare back to -- I appreciate the question, that '04 through '06 period. In fact, I've traded every bear market since 1986. And I will put my track record and training to bare walk at against anyone else. But this is a very different situation. We can't get you in a bear market. And so it is dynamic. We will adjust our risk position as necessary. We are not afraid to hedge this book down. If it looks as if that's what we're supposed -- but I want to emphasize Smriti points earlier. Well, she said it was already priced into the market at about an eight or nine time hike over the next two or three years. Smriti, you want to add anything to this?
Smriti Popenoe: So if you look on page 33, Eric, we've given you our derivative position essentially in a chart. And what you'll see is that we have about a billion dollars notional for the remainder of 2015. That reflects our view that really, again, if there's a hike coming that's what we've hedged out of the position so to speak. You can see that next year, our hedge position increases substantially. But again, as Byron always says, that we reserve the right to change my mind in the next second because we have to manage this position versus what's already baked into the market. The market is saying, next year, there's -- between now and the end of next year, there's going to three-and-a-half hikes. If we believe that there's going to be two hikes, some of those hedges are going to come off. If we believe that there's going to be five-and-a-half hikes, there's going to be hedges being put on. So we've had to manage that position very dynamically. Right now, the beauty or the art in what we do now is really managing versus what the market already has priced in. So the key thing; and I think a lot of folk don't really focus on this. If you're hedging today, you're hedging against what the market has already baked in. It's not that you're locking in today's rates. You have to look at forwards. That's the real difference.
Byron Boston: Let me throw in one other point on this. If you look at past tightening cycles, in every situation you saw the curve flat, so the long end outperforming the short end. Now, let's fast forward to today, and what happened in this second quarter here. See, if you go back and look at Dynex two years ago, all of our duration exposure was in the front end of the curve. That's where we felt most comfortable. That was the right position at that time. Somewhere near the beginning of 2014, we stared to move some of our duration out to the long end of the curve, meaning, between the seven and 10-year part of the yield curve. Well, it so happens that this second quarter, the yield curve is steeping with long rates rising more -- materially more than short rates. And as such, that had an impact on Dynex. However, again, we're managing for the long-term. If in fact the Fed starts to tight, and they go one time or two times or three times; I anticipate this curve will flatten, unless there's a material change in inflation or inflation expectations. And by material change I mean, they start to expect inflation at 3% or 4%. Without that my -- our assumption is that the curve will flatten. We will continue to try to trade from that perspective. So we've got exposure now in the long end of the curve, even though we lost some book value on that position this second quarter, we believe that's the right position. I've tried to give you a little history in terms of how we've adjusted this position over time. But we have adjusted. Where we got some duration in the short end another chunk in the long end of the curve, and the reason it's in the long end because we're anticipating that potentially we could have the Fed make some type of move either later this year or sometime next year.
Eric Hagen: Got you. That's a really helpful explanation. I'll switch gears a little bit, and ask a follow-through question. How do you think a single security from the GSEs will impact the market, if at all?
Byron Boston: Yes, I've got it. I'm very opinionated on this, and I have been for 20 years. I applaud the effort to get to a single security. The structure of Freddie Mac and of Fannie Mae, and then a poorly trading Freddie Mac security makes no sense to me. I think it's cost tax payers over time, and it would just be -- I just don't understand why it's taken so long to get to a single security and realize that is a value overall. I think it will increase liquidity. There may be some short-term gyrations. But long-term I believe it is an absolute positive to get into a point where you have a single security, more standardizations, and be honest with you, I don't see there's any value in having these two agencies. But the single security is something that's live, something that they're working toward. I hope they move as rapidly as possible.
Eric Hagen: Thanks. I would agree. Thanks, Byron. That's really helpful.
Operator: The next question comes from Jay Weinstein, Highline Wealth. [Operator Instructions] Please go ahead, Jay. Jay, your line is open. Is it possible that your phone is on mute?
Byron Boston: Maybe he hung up.
Jay Weinstein: Hello?
Operator: There he is.
Jay Weinstein: I apologize. I stepped out to get a cookie.
Byron Boston: We love you Jay.
Jay Weinstein: So I took one easy question and one hard one. The easy one is while you were discussing rate movements in the second quarter, spreads and such, that sort of reversed I think since the end of June 30th. I saw the two-year I believe is up 1 basis point or two basis points and the 10-year down about 13 basis points. So is that offsetting some -- I mean obviously, you pick a point in time, but is that I'm assuming from what happened in the second quarter, is that more beneficial to your positioning?
Byron Boston: It's beneficial. There's a positive, but it's not a huge amount. I mean, we really -- with the short end and the middle of the curve really rising, and some of the Euro-dollar positions again doing more of a twist, it's a positive. But it's -- you really haven't had the impact that you had for the second quarter of reversal. So that's a very -- that's actually a very, very good question, Jay; it's a positive impact. It is a positive, but it's not like a ginormous impact as short rates have continued to [indiscernible].
Jay Weinstein: The 10-year of course is at a strange -- and you were plummeted for two months, then stood like stone and now literally I think it's back to exactly where it was on January 1, correct?
Smriti Popenoe: Right.
Byron Boston: It's a very volatile period.
Jay Weinstein: Here is the harder question, Byron. So I know that most mortgage REITs are given and yield oriented. I won't speak for the other people on the call, but I'm a total return guy. I don't care if paid no dividend at all, if the stock actually goes up; it's all the same to me. I think I can make the case that you guys should actually shrink your balance sheet quite dramatically and be repurchasing significant amounts of stock at this discount, assuming you can keep and maybe even take down leverage, obviously it would depend on how much capital you -- which assets are rolling off and capital applied against them et cetera, et cetera, but not in a small -- meaningful amount, 10%, 15%, 20% of the overall outstanding. Why is that either a good or bad strategy?
Byron Boston: I think that's a very legitimate option, Jay, and it's one that we talk about internally. Again, that's a big decision. So big position, so in that category I'd put that where you say just shrink the balance sheet dramatically, I'd put that in the same category as me closing my duration gap of going negative in terms of duration. And so those are large decisions. And what we're trying to do is slice the salami thin, if I use that analogy. So we bought back shares, and we bought back a certain amount of shares. And we haven't jumped in and said, let's just buy back everything. We are limited in terms of how much you can be on any point in time on any given day. But we want some key component there is -- one of the biggest challenges is being able to take a large stance of any time in any manner. I agree with you though, that's a very legitimate -- it's a very legitimate strategy for mortgage REIT stock if they're trading at discount of 10% or more, we got to run the math, and compare versus buying our stock, versus investing a fixed income asset. It's a legitimate strategy but we have to be very cautious in taking huge stances.
Jay Weinstein: I would say, if I'm doing the math right here because as of last trade, you're looking at, I think, over 20% discount to book and on the other hand, the other thing is, the thing I always liked about you and Thomas, is you were willing to take those big stances and you've got that right certainly -- you got it right going into 2008, you got it right during 2008 and coming out in 2009, which is -- if the market is providing that opportunity personally, I'm happy for you to make that big call, but [indiscernible].
Byron Boston: Well I appreciate that. We're not afraid to make that -- make a big call. We're not. And the discount as it, which is, it is over the last trade today. This is actually a new zone for us. So it is new information, and it'll be something we'll evaluate -- your value going forward, but it is a development that has happened here today.
Jay Weinstein: I understand that. You've always been quite clear that that 10% to 15% discount zone is where you got interested because [indiscernible] versus alternative investments, and obviously this makes that more attractive. So anyway, as I think about it, I think probably most other mortgage REITs, they don't want to shrink their balance sheet. It's like shrinking the size of their feet. But you guys don't work that way. That's not of interest and I know that. So if it makes your shareholders more money by shrinking their feet down, I know you will do it. So that'd been an interesting conversation.
Byron Boston: Yes, this is -- we will, when we hang up the phone call today, we will be evaluating the world from this perspective as it has evolved. But I can't -- the great thing I like about the team of people I work with, that includes Tom, the board, and then the professionals that work around me is, when we run the analysis, and we put it on the chalk board, if it makes sense, then that's the route that we want to take. If it makes sense for our shareholders, which of we are material shareholders, that's the route that we would want to take.
Jay Weinstein: I'll be interested to see how that discussion plays out, that's why that was the hard question.
Byron Boston: Yes. Now, I appreciate that, Jay. As always, I appreciate you as a shareholder, I appreciate your focus. And I appreciate the question.
Jay Weinstein: I guess that's fine. That's what you pay me for, right, to ask you all those hard questions? All right, thanks, guys.
Byron Boston: Thank you.
Steve Benedetti: Thanks, Jay.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Byron Boston: No closing remarks. We've kept you quite a while today. And we really appreciate it. I hope you understand our efforts trying to give you as much information as possible. We look forward to you joining us for our third quarter conference call. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.